Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter Drew Industries' Earnings Conference Call. My name is Bree, and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. At this time, I would like to turn the conference over to your host for today, Mr. Jeff Tryka, Drew's Investor Relations firm. Please proceed. 
Jeffery Tryka: Thank you, Bree. Good morning, everyone and welcome to the Drew Industries' 2012 Second Quarter Earnings Conference Call. I'm Jeff Tryka, with Lambert, Edwards, Drew's Investor Relations firm. And I'm joined today on the call by members of Drew's management team, including Leigh Abrams, Chairman of the Board of Drew; Fred Zinn, President, CEO and the Director of Drew; Jason Lippert, Chairman and CEO of Lippert Components and Kinro and the Director of Drew; and Joe Giordano, CFO and Treasurer of Drew.
 We want to take a few minutes to discuss our second quarter results. However, before we do so, it is my responsibility to inform you that certain statements made in today's conference call regarding Drew Industries and its operations may be considered forward-looking statements under the securities laws. As a result, I must caution you that there are a number of factors, many of which are beyond the company's control which could cause actual results and events to differ materially from those described in the forward-looking statements. These factors are identified in our press releases and in our Form 10-K for the year ended 2011 and in our other filings with the SEC.
 With that, I would like to turn the call over to Fred Zinn. Fred? 
Fredric Zinn: Thank you, Jeff, and again, thank you all for joining us on the call today. Drew's sales growth during the second quarter and through July continued to substantially exceed industry-wide growth in our end markets. Our sales growth was primarily the result of our acquisitions, new product introductions and continued focus on new but similar markets, which we call adjacent markets. 
 In our first quarter conference call, I said that achieving favorable returns on our acquisitions and other investments was among our top priorities for 2012. While the results of acquired businesses and other investments did improve in the second quarter, our consolidated profit margin, while good by many measures, did not meet our expectations. The reasons for these are addressed in the press release. 
 As the RV selling season winded down over the balance of the year, our sales were slow and our excess overtime and related costs should naturally diminish. That's not the real issue, though. Our real goal is to implement plans so that we'll be prepared for that increased demand that we expect next selling season, the next spring, and even beyond that. And that's why we've done long-term strategic planning, resource planning and shorter-term operational planning. 
 The exceptional increases we experienced in the demand for our products is obviously a very positive development and it gives us the opportunity to achieve significant future profit growth. Now we have to capitalize on that opportunity. I assure you that management continues to devote its attention to specific action plans that resulted from our strategic and resource planning to improve our results. These steps include increasing physical capacity, continuing to develop our pool of talented managers, investing in automation where appropriate and expanding the capabilities of our support systems.  
 We're committed to continuing our long-term track record of generating favorable returns on the capital invested by Drew. Further, our Board of Directors has a very long-established policy to use our executive compensation plans to intensify the growth in profit and return on investment rather than sales growth. Over the last several years, we've invested in businesses, markets and products that have significantly increased our sales and expanded our growth opportunities. We've broadened our product lines and our core RV business and we're focused on the aftermarket for our RV and Manufactured Housing Products. In addition, we're diversifying into adjacent industries for our products such as cargo, utility and livestock trailers, transits and school buses, modular housing and factory-built office units. 
 Thus far, we've achieved considerable initial success at gaining share in these new markets. In the first half of this year, our combined sales to adjacent markets increased to nearly $50 million, and that's about 10% of consolidated sales, up from about $25 million in the first half of 2011. We've also continued to increase sales of several of the key newer products in our core RV business such as entry doors, in-wall slide-out mechanisms, bonded windows and awnings and others. 
 While this sales growth has come with growing pains that impacted our short-term product margins, we do believe that the production capabilities we're continuing to develop will enhance our competitive cost advantages in the new products and new markets. Over time, this will enable us to continue to grow and to achieve even more favorable returns on these investments. 
 As many of you know, I speak regularly with analysts and institutional investors who are interested in Drew. And often, I really do learn as much from them as they do from me, whether it's their insights about executive comp or returning cash -- free cash to investors, or which markets they believe will have favorable growth prospects. 
 Over the past year, I have to say that I've had a lot more conversations with investors than typical about Manufactured Housing. It seemed that many investors and analysts are becoming more optimistic about the prospects for the single-family housing market, and the part that affordable housing and Manufactured Housing in particular, might play in that recovery. Our Manufactured Housing customers also seem to be getting more optimistic about near-term improvements in their market, as well as the prospects for continued recovery over the longer term. As a result, some of these customers are planning to increase their production capacity. 
 Industry-wide production manufactured homes has increased double-digit year-over-year for the last 9 months from September 2011 through May 2012, that's the last month that data is available for. While we can't predict whether this market-wide expansion will continue, the recent trend is certainly encouraging. If a recovery in residential housing develops, as many believe, continued improvement in the Manufactured Housing market could become a reality. And to put that in perspective, if, and we have to emphasize that if, single family housing starts grow to 1 million homes in the next few years, which are still well below historical norms, and if Manufactured Housing maintains its current share of about 10% of the single family housing market, we could see the Manufactured Housing industry nearly double from today's levels. 
 Further, we are prepared to participate in the Manufactured Housing recovery, should it continue. As we've seen this year, we must continue to invest in our production capabilities to support above normal growth. However, we have the capacity to increase production in our Manufactured Housing segment without requiring expensive capital expenditures. In 2010 and '11, our Manufactured Housing segment operating margins were quite strong and have improved year-to-date 2012.
 In summary, we have a broad array of opportunities, both within and outside our core RV and Manufactured Housing markets. During the last several years, we've begun to turn these opportunities into actual sales growth and we have significant additional growth potential. Further, we're very proud of the long-term track record we have of achieving favorable margins, and we're focused on repeating those successes by continuing to implement effective action plans to improve profit margins. 
 In the coming quarters, we'll continue to update you on our progress toward each of our primary long-term goals, including growth in our core markets, diversification into adjacent markets and improvements in our production efficiencies and cost structure. 
 Now let's go to review our results in more detail. 
Joseph Giordano: Thank you, Fred. Before discussing our results, I want to point out that for greater clarity, we have reformatted our press release. Rather than including certain information in the body of the release, we have provided the same supplemental information in tabular format on an additional page of the release. Please let me know -- let us know your thoughts on this new design over the coming weeks.
 Turning back to the results. Net sales for the second quarter of 2012 reached a record $251 million, and sales for the 12 months ended June 2012 exceeded $800 million, also a record for any 12-month period. These strong results are the outcome of our customer first focus and our ability to execute our sales growth strategy of completing acquisitions, introducing new products and growing market share. 
 Content growth and travel trailer and fifth-wheel RVs is one of our strategic goals. And for the 6 months ended June 2012, which included the full effect of the 2011 acquisitions, our content for travel trailer and fifth-wheel RV increased 19% to $2,676 per unit, as compared to nearly $2,250 per unit in the first 6 months of 2011. Approximately half of this content growth was due to acquisitions, with the balance of this increase in content resulting primarily from our increased product offerings over the last several years. 
 During the past decade plus, we have consistently been able to grow sales through new product introductions. For one example, we introduced our RV entry doors in late 2009, and in just over 2.5 years, our market share is over 50% and we have annual sales in excess of $30 million. One of the latest in the long list of new products introductions is our new Solera awning product line, which we introduced in the latter half of 2011. Initial acceptance of our awnings has been favorable, and we anticipate quickly gaining market share in this product line.
 As a result of increased volatility in the economy, the increased complexities in our business and changes in the industries we serve, resource planning, although challenging, has become increasingly important. As such, as Fred mentioned, we have increased our focus on strategic planning, and expect to soon begin to realize the benefits that an effective strategic planning process can provide. We have and we will continue to review, our, long-term needs for capacity and personnel, considering economic and industry trends, as well as our strategic plans for growth. 
 To meet our current and projected capacity needs, as well as improve efficiencies, our capital expenditures for 2012 are currently projected to be $23 million to $25 million. This includes the addition of a second-class tempering operation, expansion of one of our RV chassis facilities, the purchase of a larger facility to house all of our furniture operations and the completion of our extrusion business. And these are all in addition to our routine maintenance capital expenditures. 
 Our cash balance at June 2012 was $43 million, and that compared to $37 million at June 2011. This net increase of $6 million was after we invested $45 million in 6 acquisitions and $27 million in capital expenditures over that 12-month period. As indicated by these numbers, Drew's cash flow has been strong, and not only for the past 12 months but for the past several years. As a result, with no debt, substantial available credit lines and solid cash flow, we remain well positioned to continue to take advantage of investment opportunities to further improve our results and provide value to stockholders.
 Our gross margin decreased from 20.1% in the first quarter of 2012 to 18.5% in the second quarter of 2012. Despite the benefits gained from the spreading of fixed cost over a larger sales base, our gross margin was impacted by the lower operating efficiencies and higher material costs resulting from the greater than expected surge in industry-wide production levels and related capacity constraints. And collectively, these items are classified primarily in cost of goods sold.
 SG&A as a percent of sales declined from 13.4% for the full year 2011 and 12.3% in the first quarter of 2012 to 10.9% in the 2012 second quarter. This was --  this decline was primarily because of the efficiencies gained by the spreading of fixed costs over a larger sales base. And in addition, our incentive compensation, which is based on profits, did not change proportionally with sales.
 Thank you for your time. Now, I'll turn it back to Fred. 
Fredric Zinn: Great. Thanks, Joe. And operator, you can now open it up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Scott Stember with Sidoti & Company. 
Scott Stember: Could you guys talk about some of the costs that we have in the quarter and when we could likely see an abatement of these costs? 
Fredric Zinn: Sure. As we said and as I said in my prepared part of my speech, the costs were largely related to the unprecedented demand. Remember, in our RV segment, in particular, our sales were up 39% in the second quarter. We had 1,100 more employees in June 2012 than we had in June 2011. And think about the costs that are involved in training and supporting 1,100 more employees, the learning curve that those employees went through. We did what we had to do to meet the increase demand and maintain our commitments to our customers. We spent what we had to spend to make sure that our customers’ needs were satisfied. Certainly, the increase in demand is a very positive development, and you can't really accomplish the kind of profit growth we expect without increasing demand for your products. So that was the natural and very important first step. And you can't keep that kind of sales growth unless you meet the customers' needs. So we have to be on time with that delivery, we have to have quality products. And to do that this quarter, we spent some money because of the unprecedented increase in demand for our products. Now in terms of the timing, as I said in my prepared remarks, the RV selling season will wind down in the fall and by the end of the year, and our hiring will return to normal, so our overtime and related costs, hopefully, will diminish greatly, excess costs diminish greatly. But you should be aware that as our sales volumes decline over the balance of the year, as the season slows in the fall, our profit margins typically decline as well, so the improvement in our production efficiencies will be meshed to a certain extent anyway. But at this point, Scott, we do anticipate that will show margin improvement in Q3 compared to Q3 of last year. Jason, anything you want to add to that? 
Jason Lippert: Just I think it's important to note that our industry typically doesn't do any kind of real high-level forecasting, as it's hard to know what's going to happen. So if the industry turns on a dime like it did this year and fires up and stays fired up as long as it did, we're kind of taking that week by week, so that was one of the difficult factors. But the season's winding down now, our labors are already coming down, so some of those comps are trying to come back in the check as we speak. 
Scott Stember: Okay. The second question on aluminum extrusion operations. You talk about how much or how self sufficient you are right now with these operations and how you plan to sell product outside of your our own operations? 
Fredric Zinn: Well, the extrusion operation is coming along. We're continuing to increase our output and supply a significant portion of our own demand, and we still see significant potential for selling to outsiders, for the RV industry and other industries in our shipping region. And Jason, anything you want to add to that, any specifics? 
Jason Lippert: Yes, to answer Scott's question specifically, I mean, we're just supplying a fraction of our own needs right now, getting used to the equipment and gaining production on a regular basis. And it will be several months yet before we get really to the outside. We got to tackle 100% of our inside business first. But we get closer and closer every quarter. 
Scott Stember: That's great. My last question's just talking about the comments that you made about the July sales and that something about inventory shipments being up, that's being up 20% to 25%. Is that year-over-year gain or just a function of last year's sales heading off so much heading into the open house event? 
Fredric Zinn: Yes. Well, last year's July industry or travel trailer and fifth-wheel production was down about 9%. 
Scott Stember: 9%, correct. 
Fredric Zinn: So it's certainly against the 20% to 25% increase is against easier comps, no doubt. And it wasn't as if the industry staged down for a couple months before that and a couple of months after those kind of a onetime thing last July, so it's easier comps. 
Scott Stember: Yes, I was just trying to get a sense of the cadence heading into July. What we're hearing is that there was similar dealer reluctance to take on inventory heading into the open house event in September. 
Fredric Zinn: Well, I think the orders for July or -- excuse me, for August are pretty good, so I don't see that now. Jason, do you see anything on the part of our customers to produce or dealers? 
Jason Lippert: No, I think the fact that July is up so heavy and we talk about 50%, that's a signal that it's not letting up. So I'm sure there's certain dealers out there that are letting up a little bit and more as we get closer to the open house event. But like I said, August is looking really strong. We'll see a few weeks leading up to September, some people back often waiting to take product until they see what's new and exciting with the open house. 
Operator: Your next question comes on the line of Daniel Moore, CJS Securities. 
Dan Moore: You mentioned you expect sequential or -- excuse me, year-over-year margin improvement by Q3 gross margin as well as the operating margin, is that correct? 
Fredric Zinn: I'd actually have to take a look at it. And Joe's shaking his head yes, so I'm sure it is, certainly, in terms of operating margins and income margin we do expect to improve. 
Dan Moore: Perfect. And the sell-through adjacent industries obviously continues to accelerate. You mentioned awning. Maybe talk a little bit more about some of the other products that are gaining traction and driving that growth? 
Fredric Zinn: Yes, Jason, do you want to talk about other products, add color on... 
Jason Lippert: I think we touched on the entry door product which isn't new, obviously, but we still continue to gain more there. Awnings, I'd say, we obviously started kind of toward the end of calendar 2011 and we took on a of couple of accounts early this year just to get the bugs worked out and get the customers somebody with the product and really listen to them to see what they thought we can improve before we want to mass market with the product. And now, we're starting to really ramp up volumes. So it's a good of a product launch as we've had. You compare it to entry doors or leveling or any of the other big launches we've had in the last couple of years. It's successful so far, it's being well received and we've got a lot of new and increased benefits over what our competition has, so we're happy. We're starting to get some aftermarket penetration, too, already, so we're feeling pretty good about it. Leveling is another big area, new product and it's, every quarter, we're seeing more and more dealers and retail customers trying to tug at the OEs to put more of that on their products. So that's a huge part of our content growth right now is leveling. 
Fredric Zinn: And those things that jumps out at me when I look at the numbers, it increased in our content per motorhomes. And I think a good portion of that is driven by the acceptance of new in wall slides. So that's another product that, as we've expected, it's not entirely new. I think it was January, February 2010 that was originally introduced, but it's really starting to gain momentum as well. 
Dan Moore: That's helpful. And lastly, maybe just talk a little more qualitative but talk about given all the acquisitions over the last 12 months and new product introductions, to what extent did all of that activity sort of exacerbate the challenge of handling an unexpected spike in demand over the last 2 quarters? 
Fredric Zinn: It's hard to quantify, but I would say, it certainly did exacerbate it. We took on a lot of new volume, we didn't expect the industry to grow at the levels that it has grown this year, so we didn't expect the kind of flow through our factories of all these new products. We didn't expect the level of customer acceptance of some of our own new products, so each of those was a piece to the puzzle. But you're right, it certainly did have an impact on issues we had this quarter. 
Operator: [Operator Instructions] Your next question comes from the line of Jamie Wilen with Wilen Management. 
James Wilen: A question about acquisitions. A lot of the acquisitions that you've made have been small companies, undercapitalized, with an interesting product line that you were then able to take and expand in the industry. How could these guys have handled that type of upsurge in business, and does that -- and do even more to the -- to your people you're selling your products to as you gain new product lines? 
Fredric Zinn: Well, if I understand your question right, I think it did probably -- well, we're obviously larger and better equipped to handle the surge in demand than a small company. There are at least several of them that are kind of focused on one product or one product area, so they didn't have the complexities of at the same time, introducing their own new products and the surges in demand on other products that they may have had. So I think ours is a little more complex. But I think that given all of that, we handled it well. And the bottom line and most important thing is that we kept our customers satisfied. We've met their needs. I'm not sure that companies we acquired, the operations we acquired could have or not. 
James Wilen: As you expand your business and have hired all these people, what's the optimal level to run your plans?  Do you try to run 2 shifts a day or, I mean, when you're hiring all these people, you're not just opening up multiple plants? But what's  the most effective way to run your business? 
Fredric Zinn: Jason, do you want to address that? 
Jason Lippert: Yes, typically we're running a one-shift operation or a one-shift operation at 45 or 50 hours. But we run some secondary shifts and even some third shifts that some of our plants with explosive growth we've had. So that's all has really helped us as we get into uncertain times, where growth might explode a little bit more than what we think. And we've got second and third shift capabilities ready to ramp up if we need to. But not typical plant run as one shift. And with the complexity of some of our products, it's easier to train the employees and just do one large per shift. 
James Wilen: So that means, as business grows, you're going to have to open up more and more of the mothballed facilities as opposed to use the existing footprint? 
Jason Lippert: We don't have too many mothballed facilities right now. But we just opened up one here the other way, just a couple of weeks ago, so we've also purchased a couple of facilities to here recently so -- because of the need for expanding capacity. But when the capacity needs arise and we typically got our eyes on building space and in the area that we think would be good, we know -- we kind of know what products are going to grow and what spaces we're going to grow out of and are planning well ahead where to move those, if volume does get too big to the point where we need to move out of one plant and expand into another. 
James Wilen: Basically, were all your plans running at 100% capacity during this point in time was there's no real ability to shift from one plant that was not? 
Jason Lippert: Well, again, if you consider capacity, multiple shifts and we expanded to 2 shifts at some plants and 3 shifts at 1 or 2, we still had quite a bit of capacity but the problem becomes as quick as the business comes on, our ability to handle that and train -- we hired 1,000 employees in the last 6 months. So the ability to hire, get good employees and train them in a short period of time, that's really the bottleneck. It's not having the space so much. We can get at that pretty quick, if that answers your question. 
James Wilen: And lastly, with hiring of 1,000 employees, you've been through this routine many times over the last decade. Higher unemployment rates, were we able to hire employees at lower rates than we have in the past? 
Fredric Zinn: Before -- let me just tease out there, Jason. I think the issue is it's not only us that's hiring, so the whole RV industry, which is centered in the North Indiana is hiring, too. There's competition. So Jason, do you want to give a specific? 
Jason Lippert: Yes, I've often told people the same thing, it's just it's heavily concentrated in the RV and housing business. The county is, Elkhart County area is where we work and everybody goes to the well at the same time. I mean, it really taps out the people there in the community looking for work. And as you probably know, just because there's 8% unemployment or whatever the number is, it doesn't mean that you got that many people that are looking for work. There's a lot of people that are sitting home, really not motivated to work -- they come to work and people maybe make $100 or $150 more a week than what they're earning on an unemployment. It doesn't necessarily motivate them to come to work 40 hours a week. 
Operator: Your next question comes from the line of Kevin Leary with Spitfire Capital. 
Kevin Leary: Quick question on gross margins. So gross margin declined about 400 basis points year-over-year, and in the press release, it's disclosed that production inefficiencies was about a $3 million cost, which looks like it accounts for about 1/4 of the decline in gross margin. Could you just expand a bit on what else is impacting your gross margin this quarter other than production inefficiencies? 
Joseph Giordano: Let me get that into apples-to-apples for you. The $3 million is a net income number. So if you take that on a pretax basis, you're probably closer to what, let's just say, $5 million or $6 million impact on your gross margin numbers. And now when you put that over the $250 million, you're at 2.5% to 3%. 
Fredric Zinn: And some of the shifts between the gross margin and below the line too in terms of our incentive compensation plan, so correct. 
Joseph Giordano: Correct. So you're probably about 3% is really what's explained in the efficiencies and stuff we talked about. 
Kevin Leary: Okay. Are new products and adjacent markets, I assume those are starting out a lower gross profit margin? Would that explain maybe the rest of it? And is there a roadmap -- or can you talk about the roadmap for the rest of the new products to reach sort of company gross profit margin levels? 
Fredric Zinn: Yes, I think it's kind of a rolling forecast. You're right, some of the rest of the difference is due to the newer products. And we will, as we grow in those areas, initially we'll have lower margins. And as products mature, whether it's the aftermarket products or awnings or other products, we'll hopefully recover some of those margins because we'll be more efficient. So it's hard. I can't give you an exact picture, but I think there's a significant impact on margins because of the strengths of the growth in these new markets and new products. And some of the balance of the margin deterioration is because of all the scrap and even maybe more importantly, or as importantly, the outsourcing we had to do because of the increased demand in certain product lines where we often supply some of our own, let's say, components, but we weren't able to do that because we were at capacity of those components of raw materials that we create ourselves. So those are the 3 pieces. Most of it is in labor undoubtedly. And even part of this other stuff is caused by those same issues, the fact that we were pumping so much product through the facilities that we had to go outside for some sources of supply... 
Jason Lippert: And to add, when we're looking at adjacent markets or a product like awnings, leveling systems that are relatively new, I mean, it takes us a couple of years to generate the volume to really be able to command the raw materials prices we end up once we generate that kind of volume. So we always start out with a product like awnings or new products in adjacent markets with heavier raw materials and what we end up with a couple of years down the road after we really generate the volume in those product lines. 
Kevin Leary: Okay. So then it's fair to say that most of these new products are completely capable of reaching Drew's core gross margin. It's just a matter of time that there aren't any structurally lower industries that you're entering? 
Fredric Zinn: Yes, I don't know whether they want us to be a couple of points higher, a couple of points lower, whether it's the aftermarket or trailers or buses. But it should be in that general range, yes, I would accept we have that expectations. 
Operator: There are no further questions at this time. 
Fredric Zinn: Very good. Well, I appreciate the time that you've all devoted to Drew and your interest in our business. And we look forward to speaking with you again next quarter when we report our third quarter results. And thank you all again. 
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation and have a wonderful day.